Operator: Good afternoon and thank you for participating in today's conference call. Now I will turn the call over to Bob Chamness, Chief Legal Officer. Mr. Chamness, please proceed.
Bob Chamness: Thank you. Welcome to our Q1 conference call. Riley McCormack, our CEO; and Charles Beck, our CFO, are with me on the call. On the call today, we will discuss Q1 financial results and provide a business update. This will be followed by a question-and-answer forum. We have posted our prepared remarks in the Investor Relations section of our website and will archive this webcast there. Before we begin, let me remind everyone that today's discussion contains forward-looking statements that have risks and uncertainties. Please refer to our press release for more information on the specific risk factors that could cause actual results to differ materially. Charles will now comment on our Q1 financial results.
Charles Beck: Thank you, Bob, and hello, everyone. As a reminder, the acquisition of EVRYTHNG closed January 3, 2022. In order to provide transparency, I will reference the impact the acquisition had on both of our revenue and expenses in Q1 2022. We are also starting to report non-GAAP financial measures in our Form 10-Q and earnings release to improve comparability between periods. These non-GAAP financial measures include non-GAAP gross profit, non-GAAP gross profit margin, non-GAAP operating expenses, non-GAAP net loss and non-GAAP net loss per common share. We are introducing these non-GAAP measures given an increase in the number and magnitude of nonrecurring and noncash items that impact comparability between periods as well as level the underlying performance of our business. These non-GAAP measures exclude noncash expenses like depreciation expense, amortization expense, stock-based compensation expense and asset impairments. They also exclude nonrecurring items like transaction costs associated with business acquisitions and other nonrecurring items that may arise. I will reference these non-GAAP results in my prepared remarks as well as specifically highlight the relevant amounts. While we believe these non-GAAP results provide the truest measure of the underlying performance of our business, we want to provide the information necessary for every investor to do their own analysis. We've included a reconciliation of each non-GAAP financial measure to the mostly directly comparable GAAP financial figure within our earnings release, which is available in the Investor Relations section of our website. First year commercial bookings were $3.8 million during the quarter, up 50% from Q1 2021. EVRYTHNG contributed $600,000 in first year bookings during Q1 2022. We are breaking out EVRYTHNG bookings this quarter. But as we now sell combined products, it will not be practical to provide a full breakout in the future. As I mentioned on our last earnings call, we also decided to sunset our Piracy Intelligence business, which resulted in $200,000 less bookings in Q1 2022 and Q1 2021. Excluding EVRYTHNG in the Piracy Intelligence business, first year commercial bookings increased $900,000 or 42% from Q1 last year. We remind investors that first year commercial bookings are the best leading indicator of future revenue growth. Revenue for the first quarter was $7.4 million, up 11% from $6.7 million in Q1 last year. EVRYTHNG contributed $1.5 million of total revenue to the first quarter 2022 financial results. Please note that similar to bookings, it will not be practical to provide a full breakout of EVRYTHNG revenue in future periods, although we will try to provide color where possible. Subscription revenue increased 30% from $2.9 million to $3.8 million with EVRYTHNG contributing $1.2 million. Excluding the impact of EVRYTHNG, subscription revenue was lower by $300,000 due to $500,000 of upfront revenue recognition on a two-year contract in Q1 2021, partially offset by the impact of new customer contracts. The revenue impact of sunsetting the Piracy Intelligence business was marginal to Q1 2022 revenue, but the impact will increase through the year as contracts expire starting in a meaningful way in the second quarter. Service revenue decreased 4% from $3.8 million to $3.6 million, with EVRYTHNG contributing $300,000. Excluding the impact of EVRYTHNG, service revenue was lowered by $500,000, reflecting the timing of program work with the central banks, which accounted for $300,000 and less revenue from professional services work. Recycling contract that we referenced on the last earnings call had no revenue impact in Q1 due to timing of the project, but we anticipate it will have significant impact on Q2 service revenue as the project is now underway. Gross profit margin for the first quarter was 45% compared to 65% in Q1 last year. The decrease in margin reflects $1.2 million of amortization expense recorded on acquired intangible assets that were recognized in the acquisition accounting for EVRYTHNG. These assets are required to be recognized under U.S. GAAP and amortized over their useful life. Excluding amortization expense, subscription gross profit margins were 73% and service gross profit margins were 49% for Q1 2022 versus 73% and 59% in Q1 2021. Service margins were negatively impacted this quarter as we incurred additional professional service hours above the hours that were billable on one of our service contracts. We expect service margins to improve to more normalized levels next quarter. Non-GAAP gross profit margin for Q1 2022 was 66% compared to 69% in Q1 2021. Operating expenses for the quarter were $21.4 million, up $8.8 million from Q1 last year. EVRYTHNG added $4.6 million of operating expenses in the first quarter. The remaining increase of $4.2 million largely reflects $1.2 million of higher compensation costs due to higher headcount and annual compensation adjustments, higher legal accounting and tax costs of $700,000 related to the EVRYTHNG acquisition and financing activities. A $600,000 noncash impairment charge to write down our lease right-of-use assets from our prior corporate headquarters. Higher consulting costs of $500,000 related to acquisition, integration and other corporate initiatives and $500,000 higher travel and conference costs. The majority of these costs are nonrecurring costs with the exception of compensation costs and some of the consulting and travel costs. Non-GAAP operating expenses for the quarter were $17 million, up $6.8 million from Q1 last year. EVRYTHNG added $4 million of non-GAAP operating expenses in the first quarter. The remaining increase of $2.8 million reflects higher headcount and annual compensation adjustments, higher legal and accounting costs related to financing activities, higher consulting costs and higher travel and conference costs. Again, the majority of these costs outside of compensation costs and some consulting and travel costs are nonrecurring. Net loss per common share for the quarter was $1.03 versus $0.50 in Q1 last year. EVRYTHNG incurred a loss of $4.6 million in the first quarter, which included $1.5 million of amortization expense on acquired intangible assets. Excluding EVRYTHNG, net loss per common share would have been $0.76. Non-GAAP net loss per common share for the quarter was $0.69 versus $0.34 in Q1 last year. We ended the quarter with $24.9 million in cash and investments. In early April, we raised $58.3 million of capital through a registered direct offering, whereby we sold 2.2 million shares of common stock at a price of $25.90. Adding these gross cash proceeds to our quarter end cash and investment balance would have resulted in $83.2 million of cash and investments. We used $16.7 million of cash and investments during the quarter, which included $4 million to pay the closing costs on behalf of EVRYTHNG and another $3 million to pay outstanding payables owed by EVRYTHNG, net of $500,000 of cash acquired. Excluding these nonrecurring items, we used $10.2 million of cash and investments during the quarter compared to $7.1 million in the first quarter of 2021. For further discussion of our financial results and risks and prospects for our business, please see our Form 10-Q that will be filed with the SEC. Riley will now provide a business update.
Riley McCormack: Thanks, Charles. First off, as we announced in December, Bob Chamness will be retiring at the end of this quarter. So Bob, I want to recognize that thank you for your years of service and wish you much happiness in your new journey. You're leaving behind a wonderful legacy, and we promised you we got it from here. All right, so now onto the quarter. from the beginning to the end, Q1 was an eventful quarter. The quarter began with the January 3 closing of our acquisition of EVRYTHNG. The quarter ended with the March 30 release of Holy Grail Phase 2 results. In between these two milestones, we posted organic first year commercial bookings growth of 28% versus the prior period a year ago, a number which jumps to 42%, backing out our Piracy Intelligence bookings for both periods. The quarter also saw us finishing up the foundational work of our transformation work that culminated with the early Q2 launch of our first two integrated products, Digimarc Recycle and Digimarc Brand Integrity. I want to use these prepared remarks to talk about where we stand with recycling in light of the Phase 2 results in part because I know this is an area of heavy investor focus and in part because of what I think these results will mean for our business as well as the planet. But before I get to that, I want to go back to our Q1 2021 call a year ago, my first as CEO, where we laid out the transformation upon which we were about to embark. We talked about the need to and the benefits of becoming a product-led company. We mentioned the gap we were looking to fill in data. We talked about having the discipline to say no or no more to short-term distractions that aren't obvious accelerants to where we are going. And we mentioned that we were more focused on the pot of gold at the end of the rainbow instead of trying to pick up every gold coin along the way. We talked about the fact we were questing every assumption and being patient to come up with the right answer, and we mentioned how 2022 and beyond would be better if we took the time to do things right, acting with the freedom to plan, not react. I won't list all the actions taken since that year ago call, but for those interested, we do list some of them in the strategy section of the recently released proxy. I fully understand transformations don't make for very interesting conference calls. Transformations aren't measurable, at least real time and on a quarterly basis, and they sure aren't tangible, at least by themselves, only the results they ultimately produce are. On the Q1 call last year, I made the analogy we were planning to swap out our edge in mid-race and hoping to do so in a way that if we didn't tell you we were doing so, you would have just noticed the outcome we expect this upgrade to have, which is an enduring inflection to truly scalable, high-margin, customer-informed and customer-driven solutions company that is changing the world in many different ways. And with that engine swap recently completed, I can tell you that it's still exactly what we now expect to deliver. On a personal note, it has been energizing to be spending the vast majority of my time these past few weeks on go-to-market initiatives and prospects as opposed to be more internally focused and process-heavy work that has been necessary to affect our transformation. A feeling I know is shared by all my teammates who are similarly heads down focused on delivering against this goal. And I can also tell you that while 42% organic core first year commercial bookings growth is objectively strong, we expect a lot more out of our new engine. And I was excited to be in the position to be spending upcoming earnings calls talking about tangible results, as I'm guessing many of you are to be seeing and hearing about them. So while transformations might not make for very interesting conference calls while they are occurring, it is important to recognize that they are a foundation upon which interesting conference calls are built. For the rest of this call, I'm going to talk about how we're positioned with Digimarc Recycle. But before we get to that, it's important to keep in mind that a year ago, not only did Digimarc Recycle not exist, it couldn't have existed. A year ago, we had the ability to license watermarks, but watermarks alone would not have enabled the complete functionality that is needed for recycling adoption at scale. Functionality now available to the industry in our turnkey product, Digimarc Recycle. Moreover, even on an individual component basis, the watermarks we were in a position to license a year ago wouldn't have enabled the valuable unlocks of full data granularity, robust data security and easy cross-product adoption that our secure digital watermarks can offer. Which means a year ago, neither we nor our customers would have benefited from the easy on-ramp to the dual platform Digimarc tech stack that Digimarc Recycle now enables. And this Digimarc recycle would have been able to act as a top-down driver of additional product adoption, it is now positioned to be. But even more fundamentally, a year ago, the fact let along the pace of Digimarc Recycle adoption wouldn't have been in our control and knowing what we know now, it would have been far out in the future because a year ago, we would have been reliant on others to build out the required full stack functionality that is required before we were able to sign a single deal. The same could be said for any of our four other products we are currently in market with, namely Digimarc Brand Integrity, Digimarc Consumer Engagement, Digimarc Digital Images and Digimarc platform. And the same will hold true for the other products we will launch in the months, quarters and years ahead, including the product candidate, I have mentioned recently that could act as another top-down driver of adoption similar to Digimarc Recycle. Thus, as we move into 2022 and begin to benefit from the amazing work the team has been hard at work executing against these past four quarters. I want to acknowledge that while I understand transformations don't make for interesting conference calls because transformations don't equate to results. Transformations do enable results. And everything we deliver from here on out will be the result of nebulous, tough to characterize every three months, work the team has been doing -- the team has been hard at work doing these past 12 months. I want to thank you all for your patience, and I want to thank my 300 teammates for all their amazing efforts that began a year ago when we first started by questioning every assumption and then being patient to come up with the right answer. For the last year, we've been consistent in saying we expected to do nothing but judge us on the results. We are finally on the cusp of you being able to do just that. Okay. So now onto our performance in Holy Grail Phase 2. As a reminder, Phase 2 tested our technology in a semi-industrial setting, meaning a replication of real-world conditions in every regard possible without actually being live. The items were crushed, dirty, torn and otherwise mutilated to replicate what trash looks like when it reaches a waste facility. These items were then mixed with real-world waste and dropped on a conveyor about running at 3 meters per second. In every regard, the input and throughput represented routine industrial operations. We detected at 99%. Other tests were performed alongside the validation test, distress test worse than routine real-world settings. Items were crushed soiled and otherwise mutilated to an even greater extent than the validation test, and the belt speed was increased to 4.5 meters per second. To help you visualize how extreme this last condition is, imagine the impact just the laws of aerodynamics have on an empty chip bag or a cylindrical bottle dropped on a treadmill belt running at over 10 miles per hour. And even in these extreme conditions, there was no loss of performance. In fact, based on the planning and rigor of Phase 2, it might be these are the most accurate and precise measurements we will have on how our technology performs in a real-world setting, at least until post-mass adoption. As a closed-loop nature of Phase 2 increases the ability to accurately measure results to a level that be extremely hard to replicate in the real world. Thus, as a result of Holy Grail, Digimarc recycle enjoys a level of testing and measurement a few multi-stakeholder system technologies will ever have prelaunch. Our technology has been tested against an ever-increasing degree of difficulty, surpassing damage likely to be encountered in the real world by an ever-increasing number of participants representing multiple industries, all while the whole world -- all the wild with the whole world watching, and it shined at every step along the way. Having had the benefit of observing the individual tests, we have been vocal recently in saying this technology works, and there is no longer any reason to delay moving to adoption. Importantly, with this data out, aggregated and validated, the chorus is getting louder from more and more stakeholders. Behind the scenes, as we've been waiting for these results to be published, in the world to realize why we are so confident in our technologies performance, we have been working to proactively address other potential barriers to adoption so that when it becomes incontrovertible, the technology works like it is now, we are in the position to start signing contracts. In forming this work, we know we must not only highlight all the benefits Digimarc Recycle unlocks, but also incent those visionary companies that are willing to adopt first. As I mentioned, we would be on our last call, we are now officially in market with Digimarc Recycle. There are three paths we are taking to get the flywheel of adoption going, and it is key to note, our belief is that it will indeed be a flywheel. Also key to note, the below three paths are and not or roads to adoption -- roads to rapid adoption. First, we are meeting with companies on a one-on-one basis. Our initial conversations are going well, and prospects are beginning to understand that the benefits of their business go beyond just increasing the quality and quantity of recyclate to include, among others, access to a unique and highly valuable data set that provides benefits across the organization, better alignment with and direct connection to end consumers, actionable ESG insights, progress towards sustainability commitments, the potential to avoid harm from and instead benefit from regulatory actions and, of course, an on-ramp to product digitization and all the additional unlocks that come from traveling that road. Second, without losing focus on the opportunity directly ahead of us, we are also engaging with other geographies beyond Europe as well as other substrates beyond plastic. Digimarc Recycles value proposition isn't limited to a region or a substrate and the results from Phase 2 proven in harsh conditions and arguably the toughest substrate have encouraged engagement from others in search of a solution to an ever-growing front-of-mind and global problem. And then finally, in addition to knocking down barriers on a micro level, prospect by prospect, we are also working on ways to speed up time to broad adoption by knocking down barriers en masse because we know we have a solution that can make a real impact on the global crisis. One of the best parts of working on a complex project like this is meeting and spending time with people who truly want to make an impact. visionaries and doers who don't give up on pace with the inevitable inertia that comes with complexity but instead double down. On this last front, I'm excited by the potential that exists to really speed the pace of adoption by knocking down barriers en masse and thankful for those that are of a similar mind and more importantly, a similar will. Stay tuned. Operator, we're now ready for Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Jim Ricchiuti with Needham & Company.
Jim Ricchiuti: First question is just with respect to the test underway in Europe, what are the next phases of this? And how do we think about this further progressing there? And then I have a follow-up question.
Riley McCormack: Yes. So the -- if you go to the website, Jim, and we talked about this in the past, digital watermarks at EU, you can see the plan from Holy Grail. The original plan was it was a three-phase trial, we've completed Phase 2.
Jim Ricchiuti: So the industrial scale pilots, are they now set to begin later this year? Is that...
Riley McCormack: The Holy Grail is not our trial. I know it's frustrating for a lot of people. I can only talk about what they've talked about and share what they've shared is not our story to tell. I can share results once are public? Like for example, I mentioned we were very excited when the Phase 2 results are able to be shared publicly. I can't talk about their plans, I can't talk about they're currently up to.
Jim Ricchiuti: Okay. Can you elaborate on the comment you made about the potential for you to leverage this in other geographies and other geographic regions besides Europe as well as dealing with materials other than plastic, other types of substrates. Where are you with respect to that for Digimarc Recycle? Anything you can say?
Riley McCormack: Anything we could possibly say in a public way, trust me, we would say it. We are having conversations. There's the -- there's been awareness of Holy Grail. The Phase 2 results, I think, were so shockingly strong. Maybe -- we didn't think they were shockingly strong, we were expecting that level. But I think people were so -- they were eye-opening results is the best way to put it. And so conversations we've been having got more serious, more people have reached out. It was a wonderful, wonderful awareness event. And that was only, what, six weeks ago. This is a massive problem. This is a global problem. This is front of mind for governments, brands, consumers. And I think the validated Phase 2 results show this is a real solution. So there's a lot of people who are interested in exploring what that could mean for them as a geography or them as a substrate. And, I understand you're asking the right questions, right? Obviously, our goal is to deliver results. And so there are just times that we can talk about things and times we can't. I think everybody would agree they would rather us -- get what we need to get done and then tell you guys as opposed to talk about it ahead of time when we shouldn't be. I understand it's frustrating, trust me, which we could talk about.
Jim Ricchiuti: Okay. And last question for me is just -- I'm not sure productizing is the right term, but what you've done with Digimarc Recycle? And as you start thinking about these other products that you're working on, have you -- do you feel like you've accelerated, you're in a position to accelerate this process with these other initiatives you have underway?
Riley McCormack: You mean other things besides Digimarc Recycle?
Jim Ricchiuti: Right. Right. When you talk about...
Riley McCormack: Absolutely...
Jim Ricchiuti: And that's what I'm getting to, whether you hear something and you could accelerate this process with these other products.
Riley McCormack: Yes. Well, Digimarc Recycle, we had to put the components together, right? A big part of that was the EVRYTHNG acquisition. And so that's benefited other products as well. Digimarc Recycle is a little bit unusual because every technology, every product has to go through normally the phases of proof of concept than a pilot than widespread adoption, right? Most of the time that's done prospect by prospect, customer by customer. They will never be a better proof of concept than 170 organizations running a very public trial, right? So we've -- again, in the 25 years that I've been following the tech industry, I can't think of a software POC that was ever done with so many stakeholders in such a public way, such a big way. So that also we're beholden to the timetable of that POC. But for the other products, I guess I'm not 100% certain on your question about -- are you saying is it -- could it take a longer time to launch...
Jim Ricchiuti: No, no, you make a good point. I guess what I'm thinking about on -- with these other products that you're working toward, they already are commercialized. I'm just trying to get a sense as to how you're going to be -- what the time line is where we might see you going to market more aggressively with some of these other initiatives? I mean, you've got several -- you've got a bunch of things underway, Riley, we know that. But I'm trying to get a sense as to, okay, what are the next several projects, products, efforts you're making and how can we judge the progress you're going to -- you anticipate taking with these other...
Riley McCormack: Yes. Yes. I'll tell you bookings. I mean this is, as Charles mentioned in his part of the script, right, bookings is a leading indicator of revenue. Bookings is a metric that's important for everybody to watch, we believe, because bookings are a sign of new business, how those flow into revenue based on revenue recognition rules and other things. So we are reporting a first-year bookings number, right? And we give you -- that is a business that is going to be recognized in the first year. And that is what -- when I say we expect you guys to judge us on the results, it's that everything we're doing is trying to get to that. We're not in business to run interesting trials or to grow bookings and they have really big bookings. So the -- to answer your question maybe a little bit, I think I'm trying to answer your question maybe in a different way than you asked but let me know if this is what you're asking. We need to get to bookings growth. I mean we need to accelerate -- we have bookings 42%, but we expect more out of it. And that is a result, you should be monitoring. How we're going to get there is having products, having clearly defined products, clearly defined value propositions, traditional marketing material. This is why we're better for this than the competitors, right? These are the benefits you get from adopting this product and doing it on a one-on-one customer basis. The difference with the other products versus Digimarc Recycle. Digimarc Recycle, everybody gets a window into POC because the POC is done in a relatively publicly, I guess, maybe you guys don't get real-time view, you get views after things happen. But everything else, Digimarc brand integrity or having these conversations with customers, right? So we're in market with the products I talked about. We are having conversations with customers because at the end of the day, it's the customers who are going to deliver the revenue and that's going to show up in bookings.
Jim Ricchiuti: And were the bulk of the bookings that you've seen related to Digimarc Recycle? Or are you seeing the bookings in some of these other areas? Because that's the next step? Is your going to be -- you're going to show hopefully growth in bookings? Are you going to be providing some granularity as to where it's coming from?
Riley McCormack: Yes. So if for Q1, what was the bulk of -- I mean, you realized, again, it was beginning to Q2 where we're in market with our first products, right? So Q1 was sort of a hodgepodge of different things. We could map them to -- they were the legacy EVRYTHNG, in the legacy Digimarc pipeline, right? And then going forward, absolutely, the expectations is that there will still be some of the legacy deals that were in the pipeline that will continue to advance for the tools. But what will really drive the inflection of bookings going forward is going to be selling clearly defined product.
Operator: [Operator Instructions] Your next question comes from the line of Robin Knipp with Janney Montgomery.
Robin Knipp: Riley, I guess when I talked to you a number of months ago, I asked you the question about the sales force that you all have in place now. And again, when you're trying to come to market with new products and you've completely retooled the sales force, can you give us a little bit more color on how you've done that geographically by design, by structurally, I'd just like to have a better understanding?
Riley McCormack: Yes, absolutely. So you're absolutely right. We have reordered the sales force or reorganize them. So they are organized by verticals with a geographic overlay. We are forming pod so that the sales team will have a dedicated SCR presales consultant. So we're focusing the sales team on verticals. They will sell all products, and then there is a geographic overlay to those verticals. And then there's -- and then in addition, there's a whole channel team that is focused on the channel. They're also global in that regard. We do have one dedicated SME salesperson in Recycling, who is a subject -- SME meaning subject matter expert as well for Digimarc Recycle.
Robin Knipp: Okay. So then are all of these, including the SME quota-carrying salespeople?
Riley McCormack: Yes.
Robin Knipp: Okay. And then, I guess, if you could quantify for me, going back to your 42% organic core first year commercial bookings, how does that equate to dollars?
Riley McCormack: Charles broke it out. Charles, do you have that on -- handy?
Charles Beck: Yes, I do. So total bookings were $3.8 million, $600,000 of it was EVRYTHNG. And then there was about a $200,000 variance from the Piracy Intelligence business.
Robin Knipp: Okay. [indiscernible]?
Charles Beck: Yes, the base was $2.5 million last year.
Operator: Your next question comes from the line of [Takuma Riordan] with Fernbank Capital.
Unidentified Analyst: Can you provide any color on the final acquisition cost for EVRYTHNG and if there will be a second payout tranche?
Riley McCormack: Charles, do you want to handle that?
Charles Beck: Yes. So the transaction costs that we paid on behalf of the EVRYTHNG shareholders was $4 million. And we do not believe that there will be a second payout as the Product ARR minimum was not hit. I will point out, though, that there are shares that were held back for working capital adjustments and indemnification about $1.5 million. Those likely will be released in the future once the criteria are finalized.
Operator: Your next question comes from the line of Jeff Van Rhee with Craig-Hallum.
Unidentified Analyst: Aaron on for Jeff. Just a couple of questions for me. First, Riley, you talked about accelerating bookings. Just curious if you could give a little more color about kind of the target for those bookings or what you would like to see internally kind of from a longer-term road map in light of the cash burn that's going on right now?
Riley McCormack: Yes. Are you asking like for specific point guidance or directional?
Unidentified Analyst: Yes, directional. Yes, I mean, I know you probably won't give point guidance, so, yes, directional or any other color there?
Riley McCormack: So with the opportunity we have ahead of us with the uniqueness of our product set with the mind share that we have, we expect multiple years of very high enduring revenue growth -- bookings growth, right? So the -- 42%, I guess that is objectively strong number. It's still really small numbers, right? And so we believe we're at the beginning of the S-curve of our growth. So that is -- I guess, directionally, I would say at the beginning of our S-curve. And so you can probably -- we expect accelerating over time. We're not giving any point guidance here on a quarterly basis, but looking out longer term, we would expect higher bookings growth than 42%. And it's the speed, but it's also the duration of it, right? So what we're setting up here is a product-led company where we have our five initial products, we hope to have more soon. And then we become not just a land -- it's a land and expand, right? So we have a product, we get a customer that has -- adopts an existing product. There's a product -- there's a road map, a customer journey they can't travel. We're adopting a second or a third or a fourth or a fifth Digimarc product adds value from that adoption of that new product, but also adds additional value to the existing products they already take. So what we're looking to build here is a multiyear -- when I say during, I mean, multiple years, very high growth, very high margin.
Unidentified Analyst: Got you. That's helpful. And then next one, obviously, a lot of focus on the recycle product. Just curious how you're thinking about in terms of broad adoption and getting to a point where the solution is really meaningful and important from the standpoint of the recycler. Is there kind of a target or a level threshold you kind of have to hit on the amount of recycle or packaging that is tagged that can really drive that wider spread adoption?
Riley McCormack: Yes. It's a value of any network technology, right? I mean the value of the cell phone, there were 10 cell phones, was less than their ways when there was 1 billion, right? Same value of the Internet. So there will always be increasing value, the more products there are and the more facilities that are online. And that extends actually beyond just a geographic region like Europe, right? Because a lot of these brands are multinationals and so -- or multi-continent. So this is the journey we have to -- there will always be increasing value, Aaron, the more products that are watermarked and the more facilities that have scanners to both sides, the value of the network.
Unidentified Analyst: Got you. That's it for me.
Operator: At this time, this concludes our question-and-answer session. I would now like to turn the call back over to Mr. McCormack. Sir, please proceed.
Riley McCormack: Well, thanks, everybody, for your time today. We look forward to connecting again. Thanks.
Operator: This concludes today's call. Thank you, ladies and gentlemen, for joining us today for our presentation. You may now disconnect.